Operator: Good morning. My name is Adam, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pan American Silver Corp. First Quarter Results Conference Call. [Operator Instructions]. Kettina Cordero, you may begin your conference.
Kettina Cordero: Thank you, operator, and good morning, ladies and gentlemen. Welcome to Pan American Silver's First Quarter 2012 Earnings Conference Call. With me today are Geoff Burns, President and CEO; Steve Busby, Chief Operating Officer; Michael Steinmann, Executive Vice President of Geology and Exploration; and Rob Doyle, Chief Financial Officer. Before I hand over to Geoff, I would like to remind our listeners that this call cannot be reproduced or retransmitted without our consent and by indicated that -- indicating that certain of the statements and information in this call will constitute forward-looking statements and forward-looking information within the meaning of applicable securities laws. All statements other than statements of historical facts are forward-looking statements. These statements reflect the company's current views with respect to future events and are necessarily based upon a number of assumptions and estimates that, while considered reasonable by the company, are inherently subject to significant business, economic, competitive, political and social uncertainties and contingencies. Many known and unknown factors could cause actual results, performance or achievements to be materially different from those expressed or implied by such forward-looking statements, and the company have made assumptions and estimates based on or related to many of these factors. We encourage investors to refer to the cautionary language included in the most recent news release dated May 15, 2012, as well as those factors identified under the caption Risks Related to Pan American's Business in the company's Form 40-F and annual information form. Investors are cautioned against attributing undue certainty or reliance on forward-looking statements, and the company does not intend or assume any obligation to update these forward-looking statements or information, other than as required by law. I will now turn the call over to Geoff.
Geoffrey A. Burns: Thank you, Kettina, and thanks, everyone, for taking the time to join us on the call this morning. I'm going to begin today's call with a brief recap of our first quarter results before turning it over to Steve, Michael and Rob for a more detailed account of our operations, exploration programs and financial performance. After a very successful 2011, I am very pleased to report that we had a strong start to 2012 in all aspects of our business. Without question, the highlight for the quarter was the successful completion of the acquisition of Minefinders, which was finalized on March 30. As Steve will tell you a little later, the integration of the long life, low-cost Dolores mine is almost complete, as well as the integration of their development and exploration projects. And I would like to thank everyone involved for their hard work in ensuring a successful transaction and a smooth transition process. I would also like to personally welcome the many Minefinders employees who have now joined us here at Pan American. Our consolidated operational performance during the first 3 months of the year was right on forecast. We produced 5.5 million ounces of silver and 19,500 ounces of gold. Happily, our cash costs are $10.49 per silver ounce, net of byproduct credits, almost $2 per ounce or 15% below our expectations for the year. We realized average sales prices of $33 per ounce for silver and $1,706 per ounce for gold, which helped us maintain very strong margins and allowed us to generate adjusted earnings of $61.4 million or $0.58 per share and operating cash flow before payment of income taxes of $118.6 million or $1.13 per share. And we closed the quarter with close to $600 million in cash in our bank accounts. Very respectable results and a very nice start to 2012. As a result of the strong start and in keeping with our intention to return value to our shareholders, I am pleased to announce that yesterday our Board of Directors approved our second quarterly dividend of the year in the amount of $0.375 per common share. The dividend -- sorry, $0.0375 per common share, not $0.3. The dividend will be paid on or about Monday, July -- June 11 to holders of record as of the close of business on Monday, May 28. In addition to the dividend, our Board of Directors has decided to restart our share repurchase program. We have stopped the program late last year during the period of time it was required to complete the acquisition of Minefinders. Our board and I firmly believe that the current market price of the company's common shares does not fully reflect the underlying value of our operations, our properties and our future growth prospects. In this situation, we believe that our outstanding common shares represent an impelling investment for Pan American since a portion of our excess cash can be invested for an attractive risk-adjusted return on capital through these share repurchases. Under the current program, the company purchases would be limited to a further 1.8 million common shares. If and when we complete this program, we will make a further determination whether or not to seek regulatory approval to initiate a further normal course issuer bid. Before I turn the call over to Steve, who will provide additional details on our operations and development projects, I would like to mention that it is certainly rewarding to see the progress we have made at our mines in Peru, particularly Huaron, and to highlight the exceptional performance of our San Vicente mine in Bolivia. Steve?
Steven L. Busby: Thank you, Geoff, and good morning. It is my pleasure to report further details on our first quarter 2012 operating results, project advances and Minefinders acquisition positioning activities. We have started off the year well with solid operating performances across virtually all of our operations while we absorbed the fine Minefinders organization into ours and made key strategic decisions and advances on our promising projects. Consolidated silver production, as Geoff mentioned, for the first quarter was 5.5 million ounces at a cost of $10.49 per ounce compared to 5.3 million at a cost of $7.83 an ounce during the first quarter of 2011. According to the timing of closing the Minefinders acquisition on March 30, none of the Dolores mine production is included in our first quarter consolidated production and cash cost results. With a possible exception of a shortfall at our Manantial Espejo mine in Argentina, our operations produced in line with expectations. Across all operations inclusive of Manantial, our consolidated cash cost per ounce were nearly 20% less than anticipated, thanks to a combination of lower-than-expected operating costs and better-than-expected byproduct production and prices. The Manantial Espejo mine produced 860,000 ounces of silver at a cash cost of $8.76 per ounce during the first quarter. This production was about 12% below our expectations due to our continued poor mechanical availabilities on our open-pit mining fleet, as well as plant disruptions caused by unexpected equipment failures and a batch of unsuitable, substandard flocculant that we had to replace rapidly. We are proactively participating in discussions with the primary mining companies, the production minister and the secretary of mining to cooperatively and systematically develop domestic Argentine supply alternatives. It is important to note that we have succeeded in reducing our reliance on imported parts and materials by some 50% since we started operating in Manantial in late 2008. We believe these discussions will result in a more realistic expectation of Argentine supply development timelines, which will bring improvements to the current situation in the near future for all mining companies who currently operate in Argentina. Meanwhile, all of our other 6 operating mines performed according to expectations, with positive improvements noted at our 2 primary Peruvian mines, Huaron and Morococha, where the minor training programs, the increased definition drillings and the increased underground development rate initiatives that were launched in 2011 begin to produce the results we were expecting. We also continued to produce sustained solid performances from our Mexican and Bolivian operations. We are very excited with the acquisition of the Minefinders assets and talented operating teams. The Dolores operation is living up to all of our expectations, and we look forward to our first mine production consolidation report next quarter. Although not included in our first quarter operational results, the Dolores operation performed solidly, producing 990,000 ounces of silver and 16,395 ounces of gold during the first quarter. We anticipate this production trend to continue for the remainder of 2012, and we expect costs to come in at around $5 to $6 per ounce once we finalize our rationale for capitalized waste pre-stripping and in-process inventory movements. Dolores has already become a very welcome addition to our solid mine operating portfolio, and I'd like to personally welcome the entire Minefinders team into our organization. They have built a truly impressive operation at Dolores and has assembled an outstanding operating team that we are very pleased to have acquired. During the first quarter, we invested $3 million on our Morococha mine infrastructure relocation project, which will be ready for occupancy in another month or so. I am very pleased with these new facilities and confident that this will bring us significant operating efficiencies for many years to come. I'd like to thank our project development team for yet another job well done, achieving nearly 1.5 million safe work hours without a single loss time accident. Pan American Silver is truly fortunate to have such a talented, industry-leading project development team that is dedicated to deploying our precious capital resources, building our project safely and efficiently. We also invested just over $7 million on our Navidad project in Argentina during the first quarter, advancing our feasibility and environmental impact studies, as well as communicating of the description of our project to the people of the Chubut province who have expressed their interest in seeing this project move forward into development. We are pleased with the positive support received from both the national and provincial governments and anticipate actions will be taken in the very near future to amend the existing law that prohibits development of open pit mining at Navidad. We are well-positioned to move this project forward appropriately once the law has been amended. After careful review and analysis, we made some key strategic decisions recently on where best to focus our project development activities to capture the most value for our shareholders. As such, we decided to relinquish our right to earn into the La Preciosa joint venture project in Mexico and redirect our efforts towards evaluating the exciting potential mill and underground opportunities at the Dolores mine. After reviewing the advances made by Minefinders, we have decided to put the Dolores mill development project on hold as we refine the mineral resource and metallurgical models that will allow us to optimize both the potential mill and underground projects. We expect to produce the scoping study for the life of mine development strategy of Dolores by the end of this year and confident it will highlight the true long-term value potential of this outstanding mine asset. With that, I'll now turn the call over to Michael Steinmann for the exploration update.
Michael Steinmann: Thank you, Steve, and good morning, everybody. I'd like to start with the drill statistics and then discuss some of the exceptional results we received in Q1. We drilled a total of over 20,000 meters in our brownfield exploration, plus 5,500 meters in our greenfield programs. The grand total of 25,500 meters represents about 17% of our 148,200 meters planned for the year. This is slightly behind where I expect it to be, but not unusual for the first quarter as rate mobilization and startup of new projects take some time at the beginning of the year. We also had some mechanical issues with some drills in Peru, which have been resolved meanwhile, and additional rigs will be deployed to Morococha, Huaron and San Vicente. The third reason for the shortage of drill meters are some of the greenfield projects, which are planned to start during Q2 and Q3. The largest program was executed at La Colorada with 6,830 meters of drilling during Q1. Like many quarters before, La Colorada returned the most exciting results. Last year, I reported many hybrid intercepts from the NC2 vein, which added the lion's share of the 10.6 million ounce reserve addition during 2011. Current reserves reached down 600 meters below surface in the NC2 vein, and we are currently mining at 468 level on the east side and at 498 level on the west side of the structure. Our inferred resources go down to about 680 level. The aim of the exploration program for 2012 is to convert part of these resources to reserves. In order to plan even further ahead, we are currently executing a deep drill program with 7 scout holes, and I'm extremely encouraged with what I see. The intersected over 370 grams silver are nearly 14% combined lead and zinc at level 1,008, over 1,000 meters below surface and 540 meters below the current mining levels. This, of course, gives us some indication about the future potential of La Colorada. And the few positive holes will not add immediate resources, but it is extraordinary to find high-grade silver mineralization over a vertical extension of more than 1,000 meters. On top of that, the Prioritria [ph] vein, about 600 meters to the north of NC2, returned very positive results as well. The current deepest mining level is 245 meters below surface, but current exploration discovered a 300 by 400 meter extension to the west reaching down as far as level 535. The vein is up to 4 meters wide and returned from 111 grams per tonne up to 1,750 gram per tonne silver and up to 11% combined lead and zinc. No doubt that these 2 veins will be the focus for our explorations during the year, and I'm looking forward to report more exciting results in the coming quarters. We have great results from Peru, but Huaron exploration intersected many high grade veins during the first quarter. They will be usual 1 to 2 meters wide containing 200 to 700 grams silver and like always at Huaron, substantial lead and zinc credits. Especially interesting, our right [ph] disseminate the mineralizations we discovered in the northern part of the mine, which are up to 40 meters wide, carrying in some places over 290 grams silver and up to 10% lead and zinc. The dissemination seems to be of limited horizontal expansion so far, but has been encountered over more than 100 vertical meters. Much more exploration is required to understand this ore body, but the prospect of having again right to disseminate the mineralization of Huaron is for sure exciting. I'd like to spend some time now to introduce you to our exploration plans for Dolores and early-stage projects we added to our portfolio through the Minefinders acquisition. Dolores will increase our brownfield budget by $3.6 million for a new total of $19.1 million. Corporate right drilling will increase from 116,000 meters to 138,400 meters by adding 22,400 meters of drilling at Dolores. Our main target for this year are the East Dike zone located to the east of the current open pit, as well as a possible extension of the pit to the south where we will drill about 50% of the program. Minefinders already published many high-grade drill intercepts in these 2 areas in the past, and I'm looking forward to a new resource model for these zones during the coming 12 months. The acquisition added a large number of early-stage exploration projects as well. Therefore, our greenfield budget will increase by $6.9 million to a total of $14.7 million, including 60,000 meters of drilling. No doubt that La Virginia is the most important project located about 100 kilometers to the northwest of Dolores in the Sonora state. Currently, there are 3 rigs working on the 27,700 meter program for 2012. Our goal is to present the first resource estimation within the next 12 months. La Virginia is a very exciting project with many high-grade vein targets. Minefinders published in the past many impressive intercepts, running between 500 to over 1,000 grams silver, and in some cases up to 41 grams of gold over multimeter width. The project covers an area of more than 34,000 hectares, and veins have been mapped at surface along the 7 kilometers track line. 2012 will be a very busy year, with one of our largest explorations budgets ever. We added Dolores, La Bolsa, La Virginia and 8 early-stage silver, gold exploration projects in Sonora from the Minefinders portfolio. We are already working at our 2 Zacatecas projects, Lucita and Plateros, in Mexico and starting this week, a first phase drill program at our Waterloo project in the U.S. Together with our new proven project, Maria Cecilia, now with our Calcatreu in Argentina, as well as our brownfield exploration, we have a pretty full plate of exciting exploration plays, and I'm looking forward to share results with you in the coming quarters. I'll pass on to Rob now for the financial review.
Robert G. Doyle: Good morning, ladies and gentlemen. Q1 2012 was another stellar quarter from our financial perspective, reflecting the consistent operational performance that Steve detailed in his discussion. Before we review our earnings and cash flow performance, I'd like to spend a few minutes discussing the further strengthening of our balance sheet, as a consequence of the Minefinders acquisition. The acquisition date of March 30 was rather convenient from an accounting perspective, as that was the date that Minefinders was consolidated on to our balance sheet as a fully-owned subsidiary to coincide with the quarter end. We began incorporating earnings, cash flow and production statistics from Dolores mine as of the beginning of Q2. The fair value of the purchase price we paid for Minefinders was assessed at $1.264 billion, which was allocated to the various assets and liabilities that we acquired in the transaction. At this stage, this is a preliminary allocation, and we intend to true that up over the next few quarters as we gain a better understanding of the fair values. As you may see from Note 3 of the Q1 financial statements, the vast majority of the consideration has been allocated to mineral property, plants and equipment, with some $1.043 billion ascribed to Dolores and other exploration assets owned by Minefinders. We also acquired some $333.5 million in working capital, most of that in cash. In fact, our cash balance has increased by a net $86.5 million after we paid $165.4 million to Minefinders' shareholders as part of the purchase consideration. On the liability side, we have taken on a residual convertible debenture with a face value of $36.2 million that Minefinders had issued and the complicated accounting convention. This instrument is recorded in 2 pieces. Firstly, there is a present value of the debt component, which is currently $30.8 million, and that will accrete upwards eventually reflecting the face value at the maturity date of December 15, 2015. So we will incur an accretion or interest charge of approximately $1.6 million annually until that date. In addition, there is a fair value of the conversion right, which is also recorded as a long-term debt and gets marked to market each period akin to the way that our share purchase warrants are treated. We will, therefore, see additional earnings volatility to the extent that the embedded derivative of the conversion feature changes value over time and as our share price moves. Under the terms of the convertible debenture, we have the right to cash settle any notes that is due to convert, which is certainly our intention at this stage. So we do not anticipate any share dilution arising from the security. As part of the Minefinders transaction, we also recorded a deferred tax liability of $264.7 million, reflecting the difference between book and tax values, with the other side of that entry essentially being booked to goodwill. In summary, after the completion of the Minefinders acquisition, our balance sheet is stronger than ever. We ended the quarter with a working capital position approaching $800 million, with almost $600 million of that in cash. Moving to the earnings statement. We recorded robust earnings in Q1, fueled by strong realized prices for gold and silver, which combined to make up 85% of our $228.8 million in revenues for the quarter. Our mine operating earnings were a respectable $101.9 million, which translates to a 45% gross margin. Our average realized price for silver for the quarter was $33 on sales of 5.2 million ounces, and in gold, we sold a little over 19,000 ounces at an average price of $1,706 per ounce. We actually sold high quantities of ore metals than we produced other than copper due to timing of shipments. And as a result, the company decreased its metal inventory balances by approximately 1,500 tonnes of zinc and 55,000 ounces of silver during the quarter. Adjusted earnings for the quarter were $61.4 million, which equates to $0.58 per share. Our Q1 earnings included transaction costs associated with the Minefinders transaction of $13.8 million and a gain on derivatives of $2.7 million in recognition of the mark-to-market movements of the Canadian dollar denominated warrants as required by IFRS, both of which were excluded from our adjusted earnings. Our effective tax rate for the first quarter was 38%, which is slightly higher than the 30% to 35% we would expect in the long term, primarily due to the fact that the derivative gain is not tax effective and due to valuation allowances taken on corporate expenditures. Operating cash flow before interest and tax paid was a healthy $118.6 million. We paid a whopping $81.7 million in income taxes during the quarter, mostly for taxes that had been accrued during 2011 on taxable income generated in the prior year. During the quarter, we invested $21.4 million in property, plants and equipment, mostly at Navidad, on the technical work to support the feasibility study; at Morococha on mine development and infrastructure relocation; and at La Colorada on mobile equipment purchases and tailings facility investments. We ended up banking a net $86.5 million through the Minefinders acquisition, which, when added to the free cash flow generated during the quarter from existing operations, cash and short-term investments rose by $103 million to almost $600 million. Financially speaking, the first quarter of 2012 was extremely pleasing. As Geoff mentioned earlier, our stellar results and strong liquidity position, coupled with equity valuations that, in our opinion, have no connection with the reality of our business, are compelling us as to resume a share buyback program in addition to maintaining our quarterly dividend. With that, I'll hand it back to Geoff for closing comments.
Geoffrey A. Burns: Thank you, Rob. Following the integration of the Dolores mine into our Mexican portfolio, we are providing revised consolidated production and cash cost forecast for the year. We expect the Dolores mine to produce 2.8 million to 3 million ounces of silver and almost 50,000 to 53,000 ounces of gold for Pan American's account in 2012, remembering we will only be consolidating Dolores' production from March 31 and forward. We expect cash cost at the mine to be in the $5 to $6 per ounce of silver range, net of gold byproduct credits. With this added production and with the first quarter now behind us, we are revising our production guidance for 2012 upward and now expect to produce 24.25 million to 25.5 million ounces of silver and 124,500 to 133,000 ounces of gold at a consolidated cash cost of $11.50 to $12.50 per ounce net of byproduct credits. I would like to take a moment to mention one thing that seems to be a growing trend within our sector, and that is to report a new metric called direct operating cash costs. Frankly, I'm not sure what that measure is, and it is not with keeping with be accepted silver industry standard for reporting cash costs, which include royalties, production taxes, transportation and treatments charges, as well as refining costs. These costs are significant cash expenses and are important part of the cash cost standard, which we continue to adhere to. Talking of costs, we are continuing to see cost pressures across our business segments, more severe in certain jurisdictions, and they continue to be an issue that we are focused on and will try to manage. As I said in our last call, I have never seen anything like this in my 30 years in the business, particularly as it relates to capital projects. Our options are limited, but we have made improvements at Huaron, where our cast cost declined by 8%. And the addition of the long life, low-cost mine, like Dolores, will help us manage our cash costs and expand our margins even more. For those of you on the call who are not aware, Dolores is currently operating as an open pit heap leach mine and has the capacity to produce 3 million to 4 million ounces of silver and 70,000 to 80,000 ounces of gold annually. While this was very attractive to us, it was not the only reason why we like this asset. We also like Dolores for its exploration and upside potential. As such, our immediate focus is to complete a scope-- as Steve mentioned, is to complete a scoping study for a mill option to potentially increase throughput and improve metal recoveries. And with a little exploration success, hopefully we will be able to extend Dolores' already long life of 17 years by significantly growing the deposit as both an open pit and potentially, an underground mine in the future. I would be remiss if I didn't provide some comments about our Navidad silver development project. As Steve mentioned, we are working to complete the feasibility study for the project, which we should see in the second half of this year. And I am optimistic that some of the infill and exploration drilling that we completed last year will add to the mineable resource we use in the PEA, which was released in late 2010. Navidad is a magnificent deposit, and we are hopeful that we will soon see the government of Chubut modify the mining law that will allow us to responsibly develop the project for the benefit of all stakeholders, our shareholders, the local community and the province of Chubut. Having said this, we are keenly aware of some of the headwinds that we are facing investment -- that are facing investment in Argentina at the moment, inflation and import restrictions in particular. However, we also believe that these circumstances are temporary. We are committed to Navidad and committed to unlocking the value of this deposit. But current circumstances dictate that our approach must be cautious, and we are currently evaluating a stage development plan which will allow us to proceed but minimize the initial capital investment. To summarize, we had a very positive and exciting start to 2012. We continued to perform well operationally and financially, and we have a pipeline of organic growth projects, the Dolores mill expansion and Navidad, which could double our production in the next 3 years. We have also taken steps to manage our geographic risks with the Dolores now in our portfolio. And by next year, over 50% of our silver production will be coming from Mexico. Most importantly, our financial strength continues to grow, and we expect to be able to fund our capital requirements for Navidad and Dolores through our operating cash flows. As for our main product and the fundamental reason why you invest in Pan American Silver, at this time last year, we have been through a roller coaster of a ride in the silver market when the price of silver reached a lofty height of nearly $50 per ounce before declining and settling in the $30 per ounce range. Most recently, metal prices have been further affected by the issues currently playing out in Europe. Current thinking by Gold Fields Mineral Services, the author of the annual silver survey, is that the short term price of silver will range between $28.70 and $32.90 per ounce. However, they have further expectations of a more decisive breakout to the upside before the end of this year with a forecasted high of approximately $40 in 2012. I'm not going to try and predict the future price of silver, but I firmly believe that the long-term fundamentals for silver are excellent, especially against the backdrop of continued currency devaluation. But perhaps more importantly, the fundamentals of our company, our resources, our growth profile, our people, our financial strength, which are the keys to our success, have never been stronger. It is on the back of our history of proven performance and our strong fundamentals that we expect to be able to continue to deliver real long-term value to our shareholders. And with that, operator, could I ask you to open the lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Ralph Profiti from Credit Suisse.
Ralph M. Profiti - Crédit Suisse AG, Research Division: Geoff or Steve, can you confirm that there's been no changes to the Manantial Espejo mine plan and that management's sort of plan of attack here to deal with these issues is to continue to weather them and discuss changes with the government? And I'm just looking at how flexible is this operation to go after sort of more high-grade material in the short term or sort of advanced development of either open pit or underground to get you sort of mitigating the risks of import restrictions.
Steven L. Busby: Yes, it's a good question, Ralph. This is Steve. At the budget for last year, when we put together the mine plan for 2012, we did look seriously at our operating cost and how they were expanding and how we expected them to move through this year. And as such, the mine plan did -- was revised at that time to focus more on open-pit mining and less on the underground mining where we saw the highest cost inflations with the labor component there. So our mine plan did expand the open pit for this year, and we're proceeding on that basis. That open pit, interestingly enough, generally gives us lower grades than focused on the underground mine development. But because of the cost structure, it does give us better economics today. That's the mine plan we're carrying out. And what we find is we mine these veins that are very common in this geologic environment. The grades are highly variable, we're in and out of grade as we mine through this open pit, and that's what we're experiencing right now. It's kind of in this low-grade part that we'll start to see higher grades as the year moves forward.
Ralph M. Profiti - Crédit Suisse AG, Research Division: And in keeping with Pan American's convention on costs, are you guys working with an internal estimate on the all-in mining costs that would sort of encapsulate inflation plus import restrictions? If we start at, say, $135 a tonne, which was last year, and implying 20% or 25% inflation would get us to sort of $165, $170 a tonne. Is that sort of a logical assumption for 2012?
Steven L. Busby: For Manantial, we think we'll be somewhere just north of $150 a tonne all in for this year. That's kind of our number.
Ralph M. Profiti - Crédit Suisse AG, Research Division: Okay. All right. And just lastly, you talked about a 50% reduction in import exposure. What's the exposure now? And is there a level of exposure to imports that management has a goal in terms of being comfortable with?
Steven L. Busby: That 50% reduction went from $25 million down to $12 million for those materials and parts. Our goal is to make sure that we keep quality parts and materials that allow us to operate our mine effectively and efficiently. And that's been our challenge now is trying to push through that barrier where we're at to get the quality parts that we need to operate. And what we're finding is those that have attempted to replace some of our parts, they haven't always performed the way we'd like. So there's 2 things going on as the Argentine suppliers are trying to improve quality of their supplies and as they realize what they can and can't supply, they're starting to release and allow us to import those things they can't and they recognize they can't. So what our goal is long term is to continue to work with the mining association in Argentina with the secretary of mining, with the production ministries and try to optimize and expand their capabilities to find better mining operations in their country. We think that's a good goal, and it will lead to long-term cost reductions for us. But we have to make sure the quality is there to allow our operations to proceed appropriately.
Operator: Your next question comes from the line of Trevor Turnbull from Scotia Capital.
Trevor Turnbull - Scotiabank Global Banking and Market, Research Division: I was just wondering if you could give us some of the production figures for Dolores? Even though it wasn't yours until April, can you give us a sense of how it performed in the first quarter with respect to production and costs?
Geoffrey A. Burns: Yes. I'll certainly give you the production performance. We're still working on the cost side. We're still working through the accounting treatment of what we're using costs, particularly as it relates to pre-stripping of waste in the pit and as it relates to inventory movements through the process. So I don't really have any costs to report. But production wise, we did mine 2.1 million tonnes of ore during the period, which was really close to what they had planned and looks pretty positive. Overall, they mined just under 10 million tonnes of waste as well, again according to plan. We stacked 1.4 million tonnes. The grade of the ore that was stacked was 46 grams of silver and 0.48 gram gold per tonne. We recovered just over 50% of the silver, and 72% of the gold when you look at it incrementally for the quarter. So it produced 989,761 ounces of silver and 16,395 ounces of gold. And as I say, the costs we don't have right now.
Trevor Turnbull - Scotiabank Global Banking and Market, Research Division: Okay. But then going forward on your cost guidance, I think the range, if I remember was in the range of $5 to $6 an ounce of silver equivalent. Is that -- that does include pre-stripping? Is that how that figure's arrived at?
Steven L. Busby: Yes. It's $5 to $6 per ounce of silver net of byproduct credit gold. And it does -- it includes waste movement, and we are planning to capitalize some pre-stripping. And again, that number is kind of moving around a little bit, hence a range. But within that, we do capture a concept that we think is appropriate for the pre-stripping.
Geoffrey A. Burns: Trevor, just to be clear, we're going to be more conservative with how we treat the long-term cost at Dolores, being very mindful of how much we end up pushing off into capital, being mindful of how much we leave in inventory on the actual leach pads. Those are 2 -- as you know, those are 2 numbers that ultimately can come back to bite you. So we're probably going to end up expensing more of that than Minefinders would have when they were calculating similar costs.
Trevor Turnbull - Scotiabank Global Banking and Market, Research Division: Okay. Sounds good. Just as a follow-up then on Dolores. I know you're looking at a scoping study for the mill. Can you tell us kind of what's the -- what factors in that study are kind of most important to you guys? Are you looking to see a greater resource potential there? Or are you concerned with throughput or CapEx? Kind of what's the key for you to feel more comfortable about a mill scenario?
Steven L. Busby: Right now today one of the key aspects we're looking at is kind of the distribution of the ore types. The Dolores ores are divided up into sulfidic ores and oxide ores and some ores with some manganese content. And we feel that, that geologic model doesn't give us the clarity of those ore distinctions that we need to properly optimize that milling circuit. So that's been our focus. We're trying to come up with analytical tools that we can generate and model that will better lead us to the most optimum outcome for the mill. So it's really hard. And until we get all that work done associated with the new mineral model to really predict today what size that mill is going to come out to be, our goal is to make it the most optimum size that makes sense for the long-term value of the project. So that's really where we're focused today. And as that information develops, we'll get a better feel for how it goes. I would also say we see some opportunities, maybe deep down in the sulfidic ores of some potential base metal value there that maybe hasn't been looked at previously.
Geoffrey A. Burns: Trevor, I guess the other additional comment is as the concept, I don't see the real long-term benefit in taking our production rates above sort of 16,000 to 17,000 tonnes a day and really chew in to the reserve quicker. I think the way I would look at it is more of a reallocation of ore to the extent that it makes sense to do so between what goes on in the pads and what ultimately would go through a mill process. So I would not make the assumption that we're going to go to 22,000 or 23,000 tons a day coming out of the pit. I would assume more that we would stay at a lower production rate and allocate the ore where it makes the best value.
Trevor Turnbull - Scotiabank Global Banking and Market, Research Division: Okay. And the metallurgical testing that you're doing to get a better handle on some of this, is that all assumably done as far as part of the scoping study? And what was the timing for when you think that might be done?
Geoffrey A. Burns: We're saying by the end of this year.
Trevor Turnbull - Scotiabank Global Banking and Market, Research Division: Okay. If I could just ask one last question, Calcatreu, kind of what's the update there in terms of what you're looking at? And when you would come to a decision point on that one?
Geoffrey A. Burns: Yes, good question. We just got our feet on the ground on that one, and we've assigned a project manager to it. We're just getting our arms around all the data. We're reassessing the resource model, trying to understand exactly what level that resource model is and determine if we have to do some additional drilling. Right now, we suspect we're probably going to have to do some additional drilling to advance the study. And again, given that timeline, we're kind of expecting towards the end of this year to really start scoping what that project is going to be all about for us.
Operator: [Operator Instructions] Your next question comes the line of Andrew Kaip from BMO.
Andrew Kaip - BMO Capital Markets Canada: Look, just a follow-up question on Dolores. If you are more looking at running at the rate of around 18,000 -- 17,000, 18,000 tonnes per day. One of the strategies that Minefinders had was building a standalone facility for a milling operation. Does that mean that you're thinking now that you could probably use the existing crushing capacity for that plant? Or is it -- are you even at that point?
Geoffrey A. Burns: Yes. We're not advanced on the study far enough to say that. And certainly, it makes sense if we were only going to run the 18,000-tonne a day the current capacity that, that crushing plant. Yes, it wouldn't make sense to duplicate that and add more capital. For sure, there's an opportunity there.
Andrew Kaip - BMO Capital Markets Canada: Okay. And then the second thing is I noted in your discussion of Quiruvilca, you indicated you're looking at strategic opportunities. Can you give us a sense of what you're thinking in that regard there? Are we going to see Quiruvilca, eventually move out of the Pan American...
Geoffrey A. Burns: Yes, Andrew. I think there are certainly opportunities for, I'm going to say another company to take advantage of Quiruvilca and what's left in the reserve beyond that which we can do, to be just blunt, and that which we would be willing to do with that asset for various reasons. So I think it would be in our best interest clearly to find another operator who could take advantage of what is left at that mine. If we are unable to do that, if we were unable to do that and we're certainly looking at that potential, if we're unable to complete something there, then it is likely that we would have to take it to a care maintenance situation in relatively short term. You've seen what the costs were last quarter. They're sitting there. We're not going to continue to run very long at that sort of cost level. It just doesn't make sense, and the asset isn't big enough for us to spend a huge amount of time trying to change that even if we could.
Andrew Kaip - BMO Capital Markets Canada: Okay. No, I understand it. But do we -- does that sort of lead to -- I guess, the follow-up question is you've got a number of smaller assets in your portfolio now through acquisitions. Are you going to be looking at divesting of other assets?
Geoffrey A. Burns: I think and to be clear we have Pico Machay, which is a small gold development project. La Bolsa, which came with us -- or came to us with the recent Minefinders acquisition, again a small gold heap leach development project, perhaps even Calcatreu depending on how that all plays out. These are assets that long term are probably not core for Pan American, and whether we divest them or do something perhaps a bit more clever with them to garner some value that probably is not being reflected in our stock, I think it's safe to say that we're not just going to sit on them and leave them in that sort of wasteland that we will be doing something with them.
Andrew Kaip - BMO Capital Markets Canada: Okay. And then just one final question. It's regarding your share buyback program. I mean, had the board considered a special dividend that might be more impactful to shareholders?
Geoffrey A. Burns: We're certainly going to be, Andrew, revisiting our dividend policy and looking at how it may be possible on a continued basis. I think, to answer your question, I don't think we’re going to be looking at a special dividend. I don't think that's going to happen. I think we would very seriously consider a longer-term program that would increase our dividends relative to the magnitude of our cash flows. I think that's very much a discussion point within our board. The share buyback program is pretty straightforward at this point in time. I mean, we really believe that the value of our shares is quite a bit less than the value of the assets that support those shares. And to us, that makes good sense to rebuy them at this point in time. But long term, I think we would look at a stronger dividend policy and something that was more tied to what our quarterly performance is.
Operator: Your next question comes the line of Chris Lichtenheldt from UBS.
Chris Lichtenheldt - UBS Investment Bank, Research Division: Just a couple of questions on the Peruvian mines, particularly Huaron and Morococha. They performed quite well in the quarter in terms of cost. Guidance for the latter 9 months of the year is significantly higher. Can you just touch on what are the major factors that are going to drive cash costs up? Is it just byproduct production?
Geoffrey A. Burns: No, Chris. It's actually underground development rights. We are going to be continuing to step up and accelerate our underground mining development rights. And that's what we see for the last 3 quarters of the year.
Chris Lichtenheldt - UBS Investment Bank, Research Division: Okay, I see. And then similarly, Manantial production was lower than the full year guidance would suggest. What -- was the ramp coming up there?
Geoffrey A. Burns: Well, the issue there is twofold. One is we did have some unexpected downtime in the plant with some mechanical disruptions there and some issues with some flocculant. The second one is in the open pit with all the equipment availability problems we've been having, it's just not accessing and releasing the high-grade ores quickly as we had planned. So the key focus there is trying to get that open pit equipment up and running better so we can release more high-grade ore for the last 3 quarters of the year.
Chris Lichtenheldt - UBS Investment Bank, Research Division: Have there been some positive signs on that front in Q2 so far in Manantial?
Geoffrey A. Burns: Not yet, I would say. To be honest, the first -- April's been a bit of a tough month there. We are seeing some relief during May, and we're hoping June is going to be a good month for us. But I think, really, the second half of the year is what we're focusing on coming in stronger there.
Operator: Your next question comes the line of John Bridges from JPMorgan.
John D. Bridges - JP Morgan Chase & Co, Research Division: My question has already been asked. But I just wondered if you had any sort of sense as to the sort of shape of the costs you're likely to report during the next 3 quarters. I heard what you said just now about the higher development right. But is it skewed to any particular quarter?
Geoffrey A. Burns: I mean, I would say the first quarter we were pleasantly surprised with our costs. They did come in a little bit lower than we expected. So when we project forward, we're optimistic. And I caution everybody because we've been optimistic in previous years. And when we start to see the costs come in for the full year, we do tend to get some unpleasant surprises as the quarters come before us. So we do feel our cost structure is going to increase for the last 3 quarters compared to this quarter.
John D. Bridges - JP Morgan Chase & Co, Research Division: Was there any particular area that the costs were better this quarter?
Geoffrey A. Burns: Well, one area that's pretty obvious to us is labor. A lot of our labor increases won't kick in until May. A lot of our union negotiations occur during kind of March, April, May timeframe. So we don't really see those costs come in until after that point. That's one area. And then the big area I talked about before, was just that we're on in Morococha, we are continuing to kick up development rates there.
Steven L. Busby: And I think the last one, John, is we did have a pretty good quarter on base metal production. And that, as a byproduct, that certainly helped bring our cost down so I think it's a combination of those 3 things.
John D. Bridges - JP Morgan Chase & Co, Research Division: And base metals for the rest of the year, how do you -- what does that look like?
Geoffrey A. Burns: We think we're on track for our guidance that we provided for the first of the year. We don't see any changes there.
Steven L. Busby: Which would imply a slightly lower production of base metals in the fall, in the 3 quarters.
Operator: Your next question comes the line of Alexander Siblicki [ph].
Unknown Analyst: This goes back to Argentina and the warning from the Ministry of Production regarding sourcing of new equipment within the country. But also, I believe there is an element to that regarding the expansion of refining facilities. And I wondered what expected impact that would have on the company as well as what the planned response is.
Geoffrey A. Burns: Yes, there has been some preliminary discussions in Argentina about government building smelting facilities and refining facilities. Right now, our sense is they're going to have to look for some capital to make those kind of investments. If they do and they come in and the cost structure is appropriate, we welcome it for sure. So again, I mean, same with Argentine importation restrictions, as they develop their supply lines and give us the quality goods we need, it's in favor for both of us so we welcome them.
Unknown Analyst: So that'll be a government owned and run refining facility rather than one owned by Pan Am that's built onshore?
Geoffrey A. Burns: Yes. They haven't really discussed with us of how they would structure that. So I don't know the answer to that. Until we see an actual plan of what they want to do, we don't know.
Unknown Analyst: Okay. I had a second the question, if I could, relating to the share price. Obviously, we're not -- nobody's pleased with the share performance at this point, and it's been fairly surprising given the financial strength and performance of the company, as well as the growth opportunities that are out there. Are there any thoughts regarding any company-specific elements that are impacting the share price, as opposed to the general decline in the market overall?
Geoffrey A. Burns: I think, Alex, we're doing everything we can to continue to run a solid, profitable, predictable business. And I think we're doing -- my view, I think, we're doing pretty well along those lines, buffered a little bit by some issues and political issues in Argentina and some political issues in Bolivia. But if, as you point out, if you look at our financial performance over the last 5 quarters, it's been stellar, and it does not seem to be translating into share price performance. And I can tell you I'm keenly aware of that as a significant shareholder as well. I watch that price every day, but my view is that we are -- our best approach is to do what we do best and that is to optimize our mines and continue to create value and cash flow out of those mines. And I firmly believe that ultimately the market forces that are at play right now will reverse and that Pan American and its shareholders will be rewarded for that continued positive operating and financial performance.
Unknown Analyst: And you guys are doing an outstanding job, and we appreciate it.
Geoffrey A. Burns: I appreciate your comments.
Operator: There are no further questions at this time. I turn the call back to the presenters.
Geoffrey A. Burns: Thank you, operator, and thank you, all, for joining us here this morning. And I look forward to our next call, which will come in early August and providing more updates on how we're doing at Dolores and perhaps some good news coming from Argentina. Thanks, everybody.
Operator: This concludes today's conference call. You may now disconnect.